Operator: Ladies and gentlemen, welcome to the Himax Technologies, Incorporation Fourth Quarter and Full Year 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. And now I would like to turn the conference over to Mr. Eric Li, Chief IR and PR Officer at Himax. Mr. Li, please begin.
Tzung-I Li: Welcome, everyone, to the Himax Fourth Quarter and Full Year 2024 Earnings Call. My name is Eric Li, Chief IRP Officer at Himax. Joining me today are Jordan Wu, President and Chief Executive Officer; Jessica Pen, Chief Financial Officer. After the company's prepared comments, we have allocated time for questions in a Q&A session. If you have not yet received a copy of today's results release, please e-mail himx@mzgroup.us or hx_ir@himax.com.tw access the press release on financial portals or download a copy from Himax's website at www.himax.com.tw. Before we begin the formal remarks, I'd like to remind everyone that some of the statements in this conference call, including statements regarding expected future financial results and industrial growth are forward-looking statements that involve a number of risks and uncertainties that could cause actual events or results to differ materially from those described in this conference call. A list of risk factors can be found in the company's SEC filings Form 20-F for the year ended December 31, 2023, in the section entitled Risk Factors as may be amended. Except for the company's full year of 2023 financials, which were provided in the company's 20-F and filed with the SEC on April 2, 2024. The financial information included in this conference call is unaudited and consolidated and prepared in accordance with IFRS accounting. Such financial information is generated internally and has not been subjected to the same review and scrutiny, including internal auditing procedures and external audits by an independent auditor or to which we subject our annual consolidated financial statements and may vary materially from the audited consolidated financial information for the same period. The company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. On today's call, I will first review the Himax consolidated financial performance of the fourth quarter and full year 2024, followed by our first quarter 2025 outlook. Jordan will then give an update on the status of our business, after which we will take questions. You can submit your questions online through the webcast or by phone. We will review our financials on an IFRS basis. We are delighted to announce that the Q4 revenues, gross margin as well as profit all surpassed the guidance issued on November 7, 2024, despite prevailing economic challenges. The better-than-expected financial results were primarily driven by stronger order momentum across product lines, along with cost improvements and a better product mix. Fourth quarter revenues registered $237.2 million, an increase of 6.7% sequentially, significantly exceeding our guidance range of a slight decrease to flat and up 4.2% year-over-year. Gross margin reached 30.5%, exceeding our guidance flat to slightly up from 30% in the previous quarter and up from 30.3% in the same period last year. The sequential increase was driven by a favorable product mix and cost improvements. Q4 profit per diluted ADS was $0.14, considerably above the guidance range of $0.09 to $0.11, thanks to better-than-expected revenues and improved costs. Revenue for large display drivers came in at $25 million, reflecting an 18.6% sequential decline. The decrease was primarily attributed to continued customer destocking after substantial Q2 replenishment for shopping festivals as well as heightened price competition from China peers. Sales of large panel driver IC accounted for 10.5% of total revenues for the quarter compared to 13.8% last quarter and 14.8% a year ago. Revenue from small- and medium-sized display driver segment totaled $166.8 million, an increase of 7.4% sequentially, exceeding our guidance of flat quarter-over-quarter, thanks to stronger-than-expected sales in the automotive and tablet markets. Q4 automotive driver sales, including both traditional DDIC and TDDI, experienced mid-teens increase significantly outperforming our expectation of a single-digit increase with both the DDIC and TDDI showing stronger-than-expected sales. This surge was primarily driven by continued rush order from Chinese panel customers carried over from Q3 following the Chinese government's renewed trading stimulus initiatives announced in mid-August 2024 to boost automobile consumption. Remarkably, our Q4 automotive TDDI sales have exceeded DDIC sales for the first time, underscoring the global adoption of our TDDI solution, which are increasingly essential in modern vehicles and reflects the growing demand for more intuitive, interactive and cost-effective touch panel features powered by TDDI technology. Our automotive business comprising drivers, Tcon and OLED IC sales accounted for around 50% of total Q4 revenues. Meanwhile, Q4 tablet IC sales exceeded the guidance of a low teens decline with sales up slightly sequentially driven by rush orders from leading end customers. Q4 smartphone IC sales declined slightly, in line with our guidance. The small and medium-sized driver IC segment accounted for 17.3% of total sales for the quarter compared to 69.9% in previous quarter and 71.6% a year ago. Q4 non-driver sales reached $45.4 million, exceeding the guidance range with a 24.9% increase from the previous quarter. The growth was primarily driven by a onetime Tcon product shipment to a leading projector customer in Tcon for monitor application. In Q4, automotive Tcon sales continued to grow sequentially due to the widespread adoption of our market-leading local dimming Tcon with over 200 secured design win projects across major panel makers, Tier 1 suppliers and automotive manufacturers worldwide. Non-driver products accounted for 19.2% of total revenues as compared to 16.3% in previous quarter and 13.6% a year ago. Fourth quarter operating expenses were $49.2 million, a decrease of 19.1% from the previous quarter and a decrease of 6% from a year ago. The sequential decrease stemmed primarily from a reduction in annual employee bonuses, partially offset by an increase in R&D expenses. As part of our standard company practice, we grant annual bonuses, including cash and RSUs to employees at the end of September each year. This results in higher IFRS operating expenses in the third quarter compared to other quarters of the year. The year-over-year decrease was mainly due to a decline in employee bonus compensation as the amortized portion of prior year bonuses for 2023 was higher than that for 2024, offsetting the higher annual bonus compensation grant for 2024 compared to 2023. Amid ongoing macroeconomic challenges, we are strictly enforcing budget and expense control with full year 2024 operating expenses declining 5.6% compared to last year. Fourth quarter operating income was $23.1 million or 9.7% of sales compared to 2.6% of sales last quarter and 7.3% of sales for the same period last year. The sequential increase was primarily a result of higher sales, improved gross margin and lower operating expenses. The year-over-year increase was primarily the result of higher sales, higher gross margin and lower employee bonus compensation due to the amortized portion of high year's bonuses. Fourth quarter after-tax profit was $24.6 million or $0.14 per diluted ADS, reflecting a meaningful increase from $13 million or $0.074 per diluted ADS last quarter and up from $23.6 million or $0.135 in the same period last year. Now let's quickly review the financial performance for the full year 2024. Revenues totaled $906.8 million, a slightly decline of 4.1% compared to 2023. Persistent global demand weakness, coupled with uncertainty about market trends led to conservative purchasing decisions and inventory management by our panel customers. Even this uncertainty, we implemented strict expense controls, resulting in a 5.6% reduction in operating expenses for the year. However, our optimism in the automotive business remains unwavering with automotive IC sales increasing by nearly 20% year-over-year in 2024, far outpacing the overall automotive market growth. Among our automotive product lines, automotive TDDI and Tcon sales, both relatively new technology, surged by more than 70%, driven by accelerated adoption across the board. The growth strengthened our market leadership and position as well for continued success as the automotive sector embrace more advanced technology resulting from the megatrend of increasing size, quantity and sophistication of displays inside vehicles. Revenue for large panel display drivers totaled $125.9 million in 2024, marking a decrease of 28.3% year-over-year and representing 13.9% of total sales as compared to 18.6% in 2023. Small and medium-sized drivers totaled $625.4 million, reflecting a slight decrease of 0.6% year-over-year and accounting for 69% of our total revenues as compared to 66.5% in 2023. Non-driver sales totaled $155.5 million, an increase of 10.6% year-over-year and representing 17.1% of our total sales as compared to 14.9% a year ago. Gross margin in 2024 was 13.5%, up from 27.9% in 2023. The margin expansion was driven by a strategic focus on cost improvement and operational efficiency optimization, combined with a favorable product mix that included a higher percentage of high-margin products such as automotive and Tcon. The successful diversification of foundry sources also contributed to margin increase. Operating expenses in 2024 were $208 million, a decline of 5.6% from 2023, primarily due to lower employee bonus compensation as the amortized portion of bonuses in 2023 was higher than that in 2024. 2024 operating income was $68.2 million or 7.5% of sales, an increase from $43.2 million or 4.6% of sales in 2023. Our net profit for 2024 was $79.8 million or $0.46 per diluted ADS, significantly up from $50.6 million or $0.29 per diluted ADS in 2023. Turning to the balance sheet. We had $224.6 million of cash, cash equivalents and other financial assets as of December 31, 2024. This compared to $206.4 million at the same time last year and $206.5 million a quarter ago. We achieved a strong positive operating cash flow of $35.4 million for the fourth quarter compared to a cash outflow of $3.1 million in Q3. We made a total of $13.1 million annual cash bonus to employees, resulting in the low operating cash flow of the quarter. As of December 31, 2024, we had $34.5 million in long-term unsecured loans with $6 million representing the current portion. Our year-end inventory were $158.7 million, lower than $192.5 million last quarter and $217.3 million at the end of last year. Our inventory level has steadily declined over past couple of quarters and are now at a healthy level. Accounts receivables at the end of December 2024 was $236.8 million, little change from $224.6 million last quarter and $235.8 million a year ago. DSO was 96 days at the quarter end as compared to 92 days last quarter and 91 days a year ago. Fourth quarter capital expenditures were $3.2 million versus $2.6 million last quarter and $15.1 million a year ago. Fourth quarter CapEx was mainly for R&D-related equipment for our IC design business. Total capital expenditures for 2024 were $13.1 million as compared to $23.4 million in 2023. The decrease was primarily due to reduced spending on in-house testers for our IC design business in 2024. As of December 31, 2024, Himax had 174.9 million ADS outstanding, little changed from last quarter. On a fully diluted basis, the total number of ADS outstanding for the first quarter was 175.1 million. Now turning to our first quarter 2025 guidance. We expect first quarter 2025 revenues to decrease by 8.5% to 12.5% sequentially, reflecting the low season demand due to Lunar New Year holidays. The revenue guidance implies a year-over-year performance ranging from flat to 4.6% increase. Gross margin is expected to be around 30.5%, depending on product mix. This compares to 29.3% of same period last year. The first quarter profit attributable to shareholders is estimated to be in the range of $0.09 to $0.11 per fully diluted ADS, implying a year-over-year increase of 26% to 54%. We have noted that some peers' customers placed order early due to tariff factors, especially in the consumer electronics sector, resulting in Q1 revenue forecast exceeding normal seasonal demand. In contrast, no similar trend has been observed in the automotive semiconductor market. Since Himax automotive business accounts for more than half of our total revenues, our Q1 revenue forecast has not benefited from tariff factors. I will now turn the call over to Jordan to discuss our Q1 2025 outlook. Jordan, the floor is yours.
Jordan Wu: Thank you, Eric. In 2024, our sales revenues in each quarter consistently outperformed guidance. While this strong performance is certainly commendable, it also highlights the challenges we faced such as limited market visibility and conservative customer demand, while many customers rely on cash orders to address their actual demand. On the other hand, our rush orders are indicative of the tight inventory position of our panel customers in general. In the past few quarters, we have consistently demonstrated our ability to handle most of such rush orders, underscoring our agility, adaptability, strong capabilities in inventory management and swift market responsiveness. The automotive IC sales remained our largest revenue contributor in 2024, accounting for almost half of total revenues, achieving close to 20% annual growth. This performance highlights Himax's automotive leadership in technological innovations, product development and market share. Looking ahead, we expect our automotive TDDI and Tcon technologies to maintain growth momentum, further strengthening our market competitiveness. Beyond LCD technology, Himax is advancing development in the automotive OLED sector with numerous projects currently underway in partnership with leading panel makers. We anticipate that automotive OLED IC will serve as one of the key growth drivers for Himax in the coming years, further solidifying our leadership in automotive display market. Meanwhile, Himax is actively expanding its technology development beyond display ICs. To that end, in the WiseEye AI segment, we have made notable progress with leading notebook brands and achieved significant breakthroughs in smart door lock authentication and smart home applications, collaborating with world-leading customers to develop new innovations. We anticipate a strong growth trajectory in our WiseEye business in 2025 and beyond. Himax's proprietary Wafer Level Optics or WLO technology for Co-Packaged Optics or CPO has recently garnered significant attention in the capital markets. In fact, as early as June 2024, Himax and FOCI, a global leader in silicon photonics connectors, jointly announced the industry-leading CPO technology. The collaboration spanning several years Himax's WLO technology with FOCI's CPO solutions for cutting-edge AI Multi-Chip Modules or MCM. Since the announcement, we have provided updates on the latest progress in each quarterly earnings call. Himax's WLO technology plays a critical role in CPO by providing essential optical coupling capacity, making it a core element of the solution. CPO significantly enhances bandwidth and accelerates data transmission while reducing signal loss, latency and power consumption. Additionally, it can help drastically decrease the size and cost of MCM. While CPO is still in engineering validation and trial production stage this year with customers' mass production timelines undisclosed and the recent AI market disruption from DeepSeek. The prospect of CPO remains unchanged. The widespread adoption of CPO for data transmission to be conducted via optics instead of metal wire is on track in high-performance AI applications. This is evident by the significant increase in customers' recent trial production volume forecast, indicating an accelerated timeline for CPO technology to enter mass production. Furthermore, Himax and FOCI in close collaboration with leading AI customers and partners are actively developing future generations of CPO technologies to meet the explosive high-speed optical data transmission demand in HPC and AI. Through WLO and CPO technologies, Himax is well positioned to engage in the high-speed AI computing market with high expectations for its growth. We believe that CPO technology beyond cloud applications will see further adoption in sectors such as automotive and robots in the future. Our current goal is to accelerate CPO adoption in cloud applications, thereby helping drive broader CPO adoption in AI applications. At CES this year, Himax showcased a wide range of innovative achievements, including automotive display technology, WiseEye AI and advanced optical technologies for AR/VR. Notably, a clear trend emerged at this year's CES as the industry demonstrated growing enthusiasm for AR glasses, fueled by more companies entering the space and integrating generative AI to accelerate the development of lightweight, compact and all-day AR glasses. For AR glasses, Himax offers 3 optical technologies, namely LCoS microdisplay, WLO waveguide and ultralow power WiseEye AI. Our latest patented front-lit LCoS microdisplay delivers unparalleled brightness with industry-leading 400k nits, exceptional optical power efficiency, compact form factor, lightweight and superior display quality, making it one of the most viable solutions in the see-through AR glasses market. In waveguide, in collaboration with leading tech names, Himax leverages proprietary WLO expertise built on advanced metal imprint technology to offer industry-leading optical solutions that optimize light transmission and display efficiency. In the field of AI sensing for AR glasses, Himax's WiseEye provides always-on AI sensing capabilities, which are being applied by developers to significantly enhance AI interactivity while consuming just a few milliwatts of power. In automotive display IC technology, we unveiled the industry's most comprehensive LCD and OLED solutions at CES, showcasing a range of next-generation smart cabin technologies. These solutions not only improve the intuitive operation of smart cabins, but also enhance driving safety and provide an exceptional user experience. A prime example is the advanced Display HMI solution developed in collaboration with AUO, which meets the demand for large-sized, high-resolution and free-form automotive displays. At CES, Himax also partnered with several AI ecosystem partners to showcase its ultra-low power WiseEye Modules over a range of innovative production-ready AIoT applications. These applications include palm vein authentication, baby cry detection, people flow management, and human sensing detection. The modules are designed for EV integration, making it highly suitable for various AIoT applications. With that, I will now begin with an update on the large panel driver IC business. In Q1, we anticipate a single-digit sequential sales increase for large display driver ICs, driven by demand spurred by Chinese government subsidies for household appliances and at reviving demand in the sluggish household sector. Notebook and monitor sales are expected to increase in Q1. In contrast, DDIC sales are set to decline as customers pulled forward their inventory purchases in the prior quarter, coupled with the seasonal slowdown in Q1. Looking ahead in the notebook sector, we are seeing an increase in demand for premium notebooks to adopt OLED displays and touch features partially fueled by the rise of AI PC. Himax is well positioned to capitalize on this trend, offering a comprehensive range of ICs for both LCD and OLED notebooks, including DDIC, Tcon, touch controllers, and TDDI. A standout innovation is our pioneering in-cell touch TDDI for LCD displays, which improves the ease of system design integration by embedding the touch controller within the TDDI chip while maintaining the conventional display driver setup for Tcon data transmission. This design simplifies the integration for customers, reducing engineering complexity and speeding up product development. This solution also supports high-resolution displays up to 4K and larger screens up to 16 inches, aligning with the growing demand for advanced visual planning and immersive laptops. With mass production already underway for a leading notebook vendor IPC, more projects are lined up. For OLED notebooks, in addition to our OLED DDIC and Tcon solutions, we are also developing on-sale touch controller technology with multiple projects underway with top panel makers and notebook vendors. Last but not least, progress has been made on the next-generation eDP 1.5 display interface for Tcon for both LCD and OLED panels. This interface will support high frame rates, low power consumption, adaptive sync, and high resolution, key features essential for next-generation AI PCs. By delivering innovative, cutting-edge technologies, Himax is well positioned to lead in the rapidly evolving landscape for AI PCs and premium notebooks. Turning to the small and medium-sized display driver IC business. For the full year 2024, our automotive driver IC sales comprising of TDDI and traditional DDIC increased nearly 20% year-over-year, significantly outpacing global automotive growth, largely driven by the continued adoption of TDDI technology among major customers across all continents. However, we anticipate Q1 automotive revenue to decline low teens sequentially following 2 quarters of low demand. Despite this, Q1 automotive sales are still projected to increase by mid-teens on a year-over-year basis. In the automotive TDDI sector, with cumulative shipments significantly surpassing those of our competitors. We continue to reinforce our market leadership, which currently stands at well over 50%, with nearly 5 design projects secured and a continuous influx of new pipeline and design wins across the board, of which only 20% already in mass production. We expect to sustain this decent growth in the years ahead. While traditional automotive DDIC sales for 2024 declined due to their gradual partial replacement by TDDI. Our DDIC shipment volume still saw a modest increase in the last year. This demonstrates the steady demand for mature DDIC products such as those used in cluster displays, SUVs and rear and side view mirrors, which do not require touch functionality. Furthermore, the long-term trust and loyalty from our DDIC customers, some of whom have relied on our solutions for over a decade is indicative of our strong customer retention. We continue to lead the automotive DDIC market, maintaining a global market share of approximately 40%. Himax continues to lead in automotive display IC innovation by pioneering solutions that deliver superior performance, power efficiency and enhanced user experiences. As part of this ongoing innovation, our latest TED or Tcon Embedded Driver IC solution, which combines TDDI with local dimming Tcon into a single chip provides a cost-effective, flexible and comprehensive solution for our customers. Another new technology worth highlighting is our automotive TDDI with advanced user-aware touch control, which differentiates between driver and passenger touches to prevent cross touch and enhance driver safety. In addition, we offer a unique not on in-cell display solution that combines a physical knob with a TDDI. This design seamlessly merges in-cell touch technology with tactile controls, offering drivers a safer, more intuitive interaction that reduces distractions and enhances the overall driver experience. Moving to smartphone and tablet IC sales. We expect a sequential decline in both product lines as is typical during the low season in Q1, Q2 the New Year. Next, for an update on our OLED business. In the automotive OLED market, we have established strategic partnerships with leading panel makers in Korea, China and Japan. As OLED technology extends beyond premium car models, Himax is well-positioned as the preferred partner, leveraging our strong presence and proven track record in the automotive display sector, capitalizing on our first-mover advantage. We aim to drive the growing adoption of OLED in automotive displays by offering a comprehensive range of solutions, including DDIC, Tcon and on-cell touch controller. We believe this positions us as a primary beneficiary of the anticipated shift towards OLED displays for high-end vehicles in a couple of years, enabling us to capture new growth opportunities and further strengthen our market leadership. Beyond the automotive sector, we have also made strides in the tablet and notebook markets, partnering with leading OLED panel makers in Korea and China. Our comprehensive OLED product portfolio covering DDIC, Tcon and touch controllers has driven several new projects that are on track to begin mass production this year. In the smartphone OLED market, we are making solid progress in our collaborations with customers in Korea and China, and we anticipate mass production to start later this year. First quarter small- and medium-sized display driver IC business is expected to decline low teens sequentially. I would like to now turn to our non-driver IC business update, where we expect the first quarter revenue to decrease high teens sequentially. First, for an update on our Tcon business. We anticipate Q1 Tcon sales to decrease mid-teens sequentially, primarily due to the non-recurrence of a onetime ASIC Tcon shipment to a leading projector customer last year as well as a moderation in automotive Tcon shipments following several quarters of strong growth. That being said, Himax maintains an unchallenged position in local dimming Tcon, evidenced by growing validation and widespread adoption in both premium and mainstream car models worldwide. We are confident in the continued growth of our automotive Tcon business, supported by our strong market presence in local dimming Tcon with strong pipelines of over 200 design-win projects set to gradually enter production in the coming years. Heads-up display or HUD is another field gaining traction within automotive displays, driving increased adoption of local dimming Tcon technology and emerging as a particularly promising application. Our industry-leading local dimming Tcon provides distinct advancements with high contrast ratio and optimized power consumption. It effectively eliminates the so-called postcard effect often seen in HUDs, caused by backlight leakage typical of traditional conventional TFT LCD panels, ensuring clear and precise images on the windshield. Additionally, the Tcon features advanced transparency detection to prevent the display from obstructing the driver's view, thereby ensuring driver safety. Several SUV projects are already in progress, and we are excited about the potential opportunities ahead. We are well positioned for continuous growth in automotive Tcon over the next few years. Switching gears to the WiseEye ultra-low power AI sensing solution. The cutting-edge endpoint AI integration featuring industry-leading ultralow power AI processor, always-on CMOS image sensor and CNS-based AI algorithm. WiseEye AI delivers a significant competitive edge in the rapidly growing AI market through its ultralow power consumption and context aware on-device AI inferencing that seamlessly integrates vision and other sensor capabilities into endpoint applications, particularly battery-powered devices. This not only enhances intuitive user interaction, but also makes AI more practical and accessible. Additionally, WiseEye AI offloads tasks from the main processor, effectively extending battery life span and improving overall data processing efficiency. Building on the success with Dell notebooks, Himax WiseEye AI is continuing to expand its market presence with additional use cases expected across other leading notebook brands, some of which are set for production later this year. WiseEye also continues to achieve significant market success across various sectors. For smart door lock, we collaborated with DESMAN, a leading high-end brand in China to introduce the world's first smart door lock with 24/7 sentry monitoring and real-time event recording. Building on this achievement, we are expanding globally by collaborating with other leading door lock makers worldwide to integrate innovative AI features, including parcel recognition, anti-pinch protection and palm vein biometric access, further expanding applications possibilities. Several of these value-added solutions are set to enter production later this year. At CES 2025, Himax joined forces with ecosystem partners to unveil a suite of innovative production-ready AIoT applications powered by our tiny form factor plug-and-play WiseEye Modules. Himax offers a series of modules, which incorporating an ultralow power WiseEye AI processor, an AoS image sensor, and advanced algorithms. These modules feature no-code/low-code AI platform capabilities, simplifying AI integration and supporting diverse use cases such as human presence detection, gender and age recognition, gesture recognition, face mesh, voice command, thermal image sensing, post estimation, and people flow management. By streamlining development and reducing development costs, WiseEye Modules open new opportunities for automation, enhance interactivity and elevate user experiences across a variety of industries. The broad range of innovative ultralow power WiseEye Modules are also under development in collaboration with ecosystem partners, such as crying baby detection, dynamic gesture recognition and human sensing, among others. One standout in our WiseEye Module portfolio is the Himax WiseEye PalmVein solution, which has quickly gained traction since its introduction just a year ago. We have secured multiple design wins with mass production already underway by a U.S. customer for smart access applications and the Taiwan-based door lock vendor for its leading smart door lock brands. To meet the growing customer demand for flexibility across various environments, we upgraded WiseEye PalmVein suite now features bimodal authentication, combining both palm vein and face recognition. The dual authentication solution enhances security by offering 2 layers of biometric verification, which not only increases reliability, but also makes us highly adaptable to various environments. The rise of physical AI agents marks a significant shift in human machine interaction, enabling devices to perceive, process and respond to their surroundings in real time. The key emerging trend is the integration of cloud-based language model, which enables the agents advanced reason and language understanding, enhancing their ability to interact with and adapt to the physical world. Himax WiseEye AI is at the forefront of this revolution, delivering always-on sensor fusion, ultralow power on-device processing,, while seamlessly interfacing with LLMs to provide the essential real-time AI capabilities for next-generation applications. A good illustration of this innovation was showcased at CES 2025, where Himax and Seeed Studio introduced the SenseCAP Watcher, a physical AI agent powered by WiseEye AI. Equipped with vision and audio sensor vision along with a speaker, this battery-powered IoT device combines on-device AI with cloud-based LLMs to interpret commands, recognize objects, respond to events, and facilitate real-time interaction. Drawing from the success of SenseCAP Watcher, Himax is actively working on multiple projects leveraging WiseEye AI to further drive advancements in physical AI agent applications. Separately, we are excited about our collaboration with a leading AI player to integrate WiseEye AI into the next generation of AI glasses. As I mentioned earlier, at CES, there was a renewed enthusiasm on AI glasses with AI becoming an integral component to enhance intuitive and seamless human-device interaction. WiseEye AI addresses 2 critical challenges in AI glasses, namely real-time responsiveness and power efficiency. For example, WiseEye supports always-on sensing, enabling AI glasses to detect and analyze the surrounding environment with real-time context-aware AI. This capability powers instant response, real time object recognition, navigation assistance, translation, and environmental mapping, enhancing the overall AR experience. Notably, WiseEye AIÃ¢â¬â¢s exceptional ultralow power consumption, measured in single digit milliwatts, also make it perfectly suited for AR glasses for all-day wear. In another example, we collaborate with Ganzin on eyeball tracking technology, which, powered by WiseEye, precisely detects subtle eyeball movements, gaze direction, pupil size, and blinking, thereby providing critical data for the enhancement of user interaction in AR glasses. In June 2024, Himax in partnership with FOCI, the world leader in silicon photonics connector, unveiled an industry-leading co-packaged optics, CPO, technology, leveraging Himax state-of-the-art WLO technology. This innovation integrates silicon photonics chips and optical connectors within MCM, replacing traditional metal wire transmission with high-speed optical communication. The technology significantly enhances bandwidth, boosts data transmission rates, reduces signal loss and latency, lowers power consumption, and significantly minimizes the size and cost of MCM. In working closely with FOCI, we are making significant strides through a solid partnership with leading AI semiconductor companies and foundry, with small-scale production of the first-generation CPO solution already underway. As mentioned earlier, the significant increase in Q1 engineering validation and trial production volume combined with the anticipated sample volume increases in the coming quarters is a strong indication that CPO technology is being accelerated towards mass production. In addition, in close collaboration with leading AI customers/partners, we are speeding up the development of CPO technology for the next few generations. We are more optimistic than ever about the outlook for our WLO business, which is poised to generate significant growth opportunities and become a major revenue and profit contributor in the years ahead. Alongside the CPO progress, we are witnessing a rise in engineering collaborations with global technology leaders who are utilizing our WLO expertise to make advanced waveguides for AR glasses, highlighting the growing recognition of our WLO capabilities. For an update on LCoS, we recently introduced our industry-leading 400K nits ultra-luminous Front-lit LCoS Microdisplay, setting a new benchmark for brightness with extremely low power consumption of nearly 300 millwatts. At CES 2025, we showcased an AR glasses POC, proof of concept, featuring the microdisplay with a third-party waveguide, achieving over 1,000 nits of brightness to the eye. This demonstration highlighted its suitability for outdoor, high ambient light conditions. With a lightweight of just 0.98 grams and ultra-compact form factor of less than 0.5 c.c., combined with excellent color performance, HimaxÃ¢â¬â¢s Front-lit LCoS Microdisplay is ideal for all-day AR glasses and underscores the technology's readiness for real-world applications. Following the recent release of our 400K nits ultra-luminous Front-lit LCoS Microdisplay, we are actively engaged in significant projects through strategic collaborations with industry leaders. Himax's proven track record of over a decade in LCoS technology, coupled with a history of successful production shipments, highlights our readiness to meet the demands of large-scale production of AR glasses. That concludes my report for this quarter. Thank you for your interest in Himax. We appreciate you joining today's call and are now ready to take questions.
Operator: [Operator Instructions] Now we'll have our first question, Donnie Teng, Nomura.
Donnie Teng: My first question is regarding to CPO because maybe in the past few months, some investors were asking about whether our CPO is firstly adopted by scale out or scale up server systems. So wondering if you could elaborate more there. And also, you mentioned about there has been already some small-scale production. And could you give us some update on when should we see more sizable mass production scale in the coming years. And also, could you update a little bit on the competition landscape there? It's like how well our position right now compared with the multiple peers?
Jordan Wu: It's not an easy question. I'll try to address the question perhaps from a slightly different angle. But I think, understandably, the one issue you guys are really interested in now is that exactly how much contribution this will be for Himax in the foreseeable future and even the long term. I assume that is basically the essence of your question. As I just mentioned, this year, 2025 will be a year for engineering validation with only sample shipments for us. So while the sample shipment will accelerate quarter-by-quarter, the revenue contribution will be rather limited if you compare that with our total revenues. The fourth quarter, which presumably will be the peak of this year, the revenue is set to be in millions of dollars based on current forecast. But again, it's still quite small compared to our total size and things can still change as it is still early. Now in all likelihood, mass production will commence in 2026. But we don't know how and certainly, we won't comment on exactly when in 2026. It's probably still more than a year from now. There are still many unknowns like how many customers, how many projects or their revenue curve, et cetera. And therefore, while 2026 is likely to be the first year of mass production, it is still early and it still difficult to give a revenue indication for the year at this point. Now if we look further ahead and ignore the exact timing and revenue curve, et cetera, for the time being, and let's just try to paint the picture for, I would call it annualized potential revenue for Himax because the first year production could be just a quarter or whatever, I don't know. But let's try to annualize it, and analyze the potential revenue for Himax when the CPO business reaches in probably early stage of mass production. So maybe that is how I can try to give you a preliminary indication. And the reason why I say probably early stage of mass production is because I believe the ultimate demand for CPO is probably above and beyond anything we can imagine at this point. So by comical early stage, I'm thinking probably the first couple of years when the industry is perhaps still testing the water with maybe only premium models equipped with CPO. In making the assessment, we have considered leading AI customer total advanced GPU shipment outlook, for which you guys have provided a lot. And leading foundry's total CoWoS capacity plan, which is very much public information. And we have assumed a very low percentage of CPO attach rate for both. So when I say early stage of mass production, this is what I mean. The attach rate for both is still very, very low percentage-wise. So with such conservative assumptions, I can say that our annualized CPO revenue could still reach hundreds of millions of dollars when we get there. Again, this is early stage, and this is the best I can do in terms of providing a very good indication. So to me, this is not really a question of whether or even when it will happen because it will definitely happen in our view, but rather how fast the CPO technology will penetrate. While we believe with all its obvious benefits like raising transmission bandwidth and lowering power consumption at relatively very low cost, the CPO technology has the potential of ramping quickly, we believe. Because of all these benefits, it has the potential ramping quickly. However, at the end of the day, that is still a decision to be made by our end customers. So all we can do is to get ourselves well prepared to meet any customer demand or ramping plan, and that's exactly what we will do.
Donnie Teng: But I'm wondering if we talk about 2026, do you think that CPO is mainly used for the on switches or it can be directly used for the connection between GPUs and GPUs?
Jordan Wu: Again, we are so upstream. We are probably not the best person to answer such questions. However, as far as we are told, it will be firstly adopted in switches and that is going to account for the bulk of the volume in early stage. That's what we're told, although again, you're probably not asking the right person because at the end of the day, what we provide is those critical optical components, and how our customers are going to use it for whatever application it's really their core and they don't necessarily need to share such information with us. However, we also know as I mentioned in my prepared remarks, in addition to cloud application, we believe eventually, this also has great potential for things like automotive and robot. When it comes to very consumer products, CPO technology is low cost compared to those applications. But if you're talking about like notebook or smartphone, it is still relatively high cost. So I don't know about those potentials and I'm certainly not counting those in our assessment. I'm not even counting automotive or robot or whatever. I'm just saying in long term, we believe those are also good areas to use CPO. However, so I want to emphasize in our assessment, we are only counting cloud application. We are only assuming a very low attach rate for the cloud application only. And that can easily result in hundreds of millions of annual sales for us.
Donnie Teng: My second question is related to the core driver IC business. So for automotive driver IC business to be sequentially declining into the first quarter, as you just guided, I'm wondering if it is just like the previous quarters that customers have some normal inventory adjustment or order adjustment, or is there anything changed in terms of the competition landscape? And it looks like gross margin in the first quarter remains at a similar level in fourth quarter, but with lower sales contribution from automotive. So do we have better product mix in the first quarter versus fourth quarter, or there are other reasons behind that gross margin can still hang over there similarly as fourth quarter?
Jordan Wu: So basically, 2 questions. The first question is about Q1 outlook, the sales. I think the sequential decline really just reflects the seasonal factor, the Lunar New Year holidays. If you take that into consideration, if you compare this revenue guidance with any other previous years, I think this is not necessarily a bad first quarter for us. Again, in our prepared remarks, we mentioned that we noticed some of our peers, their customers are giving them pulling orders because of tariff considerations. We are not seeing the same in automotive. I guess for a variety of reasons, I don't want to comment exactly on the reasons, but because I truly don't know exactly in detail. But we have certainly checked with our customers, and that's the feedback we get from them. We are getting that normal level of orders without customers considering tariff factor for their pulling orders for Q1. So I think the sequential decline is just a fair reflection of the Chinese New Year holidays. And also, I said quite specifically in our prepared remarks, we believe across the automotive display IC ecosystem, the inventory level is quite healthy. So that is definitely good news for us as we look forward to the whole year's outlook. And you also mentioned gross margin. Yes, it is a result of product mix. And specifically, we are seeing DDIC remains quite strong, although TDDI, we are seeing some decline. Again, it's just one single quarter phenomenon. I'm not sure I should speculate on the reasons or comment on why the the change of direction in both product areas is one single quarter phenomenon. So I don't see anything unusual there. Just that it just happens that DDIC is going to be up slightly, while TDDI will be down slightly. So all in all consider our gross margin is going to remain about flat.
Operator: [Operator Instructions]
Jordan Wu: There are a few questions from online Q&A box. They are read through. They are all related to automotive. So if I may quickly repeat their questions. Question 1, automotive revenue mix between Chinese and non-Chinese cars. No obvious difference there. Given our market share, we have to do both. In fact, for the so-called non-Chinese cars, we are talking about Europe, U.S.A., Japan, Korea, and all these major car markets, our market share, I would say, is quite evenly spread across all major markets. Although Chinese customers tend to be more aggressive in terms of bringing our newest technology to mass production, which is a clear trend we are observing. Other than that, in terms of market share, we don't see a significant difference between Chinese and non-Chinese. Top 3 automotive customers and their respective revenue percentage contributions. Our direct customers, our paying customers, are panel makers. And we also get to a lesser extent because of touch business. We also get some businesses to a much lesser extent from Tier 1s. And we don't really get revenues from OEMs and customers. So in this regard, if you ask me the top 3 automotive customers, they are obvious customers with LCD makers with the biggest capacity. So I don't want to name their names right now, but it's probably not too difficult to guess. They are major panel makers with the biggest capacity. Percentage of the remaining 70% of auto design wins, those that have not yet entered is that expected to in 2025? Not necessarily. Typically, customer will get inquiries and there could be a bidding process or customer will just grant us the design win. But anyway, at some point, there will be the official kickoff and that is when we define it as design win. It's the official kickoff typically involving Tier 1s. So it is panel makers equipped with our ICs promoting to Tier 1s. And when Tier 1s get their inquiries from OEMs and they make a decision which panel to use and which IC to use. And they've gone through the evaluation stage and they finalize it and they make the final call. And that's when the official design process gets kicked off and that's how we define design win. So when we are getting inquiries and we don't count that or even a proof of concept, we call it design in, but they are not defined as our number of project design win. So our number of product design win is actually quite strict. And so from design win, meaning project kickoff to mass production, it varies quite a lot depending on whether it's a very mature technology or it's very, very new technology. Also it depends on the type of customers. And I would say, indeed, Chinese customers tend to be quicker with shorter design cycles compared to others. So the time can vary from as far as very exceptional, but we have seen as far as 9 months to 2.5 years or sometimes even longer. So you imagine they probably spread across almost evenly across this period between 1 year to 2-plus years. So 2025 will only be a portion of it. Some will still wait until later. Are you working with one or multiple CPO customers to utilize your solution? We have made announcement with FOCI. So FOCI is our clear customer/partner. And while we've been approached by others, I think this is a bit sensitive question to answer. I think certainly, I would just say FOCI is our very strong solid and close partner and their request and demands R&D or ramping or otherwise is of the utmost priority to us for the time being for any foreseeable future in fact. So I think I would just say that without directly answering your question. And I think the 2 of us together, we should be able to take up. To be honest, we are seeing little competition. So the issue for us is to work together and resolve all issues for customers and enter into mass production and making sure we have a smooth delivery and quality and whatnot, rather than thinking about diversifying our customer or supplier base, that is definitely not a priority for the foreseeable future.
Operator: Then there are no questions at the moment. Thank you.
Jordan Wu: As a final note, Eric Li, our Chief IRP Officer, will maintain investor marketing activities and continue to attend investor conferences. We'll announce the details as they come about. Thank you, and have a nice day.
Operator: Thank you, Jordan. And ladies and gentlemen, this concludes Fourth Quarter and Full Year 2024 Earnings Conference Call. You may now disconnect. We thank you, and goodbye.